Operator: Ladies and gentlemen, thank you for standing by, and welcome to Sprinklr's Third Quarter of Fiscal 2022 Earnings Conference Call. Joining us today are Ragy Thomas Sprinklr's Founder and CEO, Vivek Kundra, Chief Operating Officer, and Chris Lynch, Chief Financial Officer. At this time, all participants are in a listen-only mode. After the speaker's remarks, there will be a question-and-answer session. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Mr. Chris Lynch for introductory remarks, please go ahead, Chris.
Chris Lynch : Thank you. And thanks to everyone for joining us today for Sprinklr's third quarter earnings call for the three-month period, ending on October 31. We issued our earnings release a short time ago, filing the associated 8-K with the SEC, and we've also made available on the Investor Relations section of our website. As a reminder, during today's call, we'll be making forward-looking statements about the business and about the financial results of Sprinklr, then evolve many assumptions, risks, and uncertainties, and our actual results might differ materially. Any forward-looking statements that we make on this call are based on our beliefs and assumptions as of today, and we disclaim any obligation to update them. For more details on the risks associated with these forward-looking statements, please refer to the text in the company's press release issued today and to our periodic reports filed with the SEC, including our quarterly report Form 10-Q for the quarter ended October 31st 2021 that will be filed with the SEC. With that, let me turn the call over to Ragy.
Ragy Thomas : Thanks, Chris and hello, everyone. It is wonderful to speak with all of you again. First and foremost, I'm really pleased to report a really, really excellent third quarter that exceeded guidance on all metrics. Q3 revenue grew 32% year-over-year to a $127.1 million, and subscription revenue grew 29% year-over-year to a $109.9 million. This is the fourth quarter that we have accelerated our revenue growth rate back to back, which is a continued validation from the world's largest enterprises that there's a massive need to unify experiences across customer-facing functions and tips from Care to Marketing on all modern channels. And the need is not just to unify customer experiences across functions and teams. It is to unify customer experiences across markets globally. And in many cases, the need is to even unify experiences across brands or business unit for multi-brand and multi-business unit companies. Our vision and strategy hasn't changed since the company was founded 12 years ago. We are here to do 3 things: 1. To lead a new category of enterprise software that we call unified customer experience management. 2. To build the world's most loved, and I repeat most loved enterprise software company. And 3, to create a culture that obsesses about customers and treats one another like family.  The sustained execution and results that you're seeing from us this quarter, are simply a reflection of who we are and who we always have been. And with this renewed momentum, we have never been more excited about the opportunity in front of us. Our customers are telling us that they want to replace point solutions in the front office with a single platform. That they need that platform to be purposed built for modern channels, and that it needs to integrate with other best-of-suite platforms that they already have. In short, they need more platforms that work well with each other and less point solutions that don't. This is the reason our net dollar expansion increased significantly this quarter. And we now have 80 customers with more than 1 million in trailing 12 months subscription revenue. It's clear that every large enterprise in the world is in the midst of their own digital transformation to being customer - centric. And everyone's trying to find ways to deliver a better, more unified customer experience. Most are still early in that journey. But for a million plus customers like Honda and many others like them, they are moving much faster than others are. When you talk to our customers and companies like them, you will see a pattern. It's common for large companies to start with point solutions in modern channels and trying to stitch it together.  The problem is it never scales. And with point solutions, it's impossible for any company to improve experiences that customers are having with them. It was the right thing to do 5, 10 years ago because there wasn't an alternative, they have to choose between best-of-breed point solutions or a platform with basic capabilities. Now, with Sprinklr, they don't. They can make a no-compromise decision with 31 next-generation capabilities that they need across 4 major customer-facing functions, from marketing to customer care, all on one platform, where everything and everyone can work together. Unification on Sprinkler doesn't happen all at once. It happens in phases, land and expand. And with the unified platform as broad as ours. Any of our 31 products across our 4 product suites can be the entry point. Some customers start by unifying social, maybe across markets and business unit, then they expand to unify all of marketing, where they have visibility across content and campaigns. And then they unify all of outbound engagement, bringing marketing and sales together. Sometimes customers come at it the other way.  Charging by unifying Research, getting insights in one place, and followed by customer care. No matter what path they start, the pieces come together on Sprinklr, giving these companies something that they know they need, a single platform that could become the foundation for unifying the entire customer expedience across all modern channels. Enterprises don't start with Unified-CXM, they arrive at it. Here are 2 examples. Let's start with Prada, an incredible company, not just reimagining the future of luxury. During my last trip to Europe, I had the privilege of meeting Lorenzo Bertelli, who the company recently announced as their future CEO. It was fascinating to hear him describe his vision to unify each brand across in-person and digital channels in order to serve customers when and where they desired the best experience. Over the past 18 months, the Prada Group has been progressively unifying advertising and engagement and research and care, all on Sprinklr, to execute against their digital-first strategy and to support the exponential growth that they're seeing on online channels. They started with Sprinklr's Modern Advertising and Modern Sales and Engagement suites, pulling together five global brands for full visibility in the campaign creation, publishing, and performance across modern channels.  The group now managers 147 accounts with more than 5,000 messages published from Sprinklr this year. They then added our AI powered Modern Research suite, tracking 92 million mentions across 183 broad topics, with more than 70 custom dashboards from where they get their insights in real time. And in Q3, they added our Modern Care and conversational commerce product, which enables proactive selling in the channels that customers prefer. Another great example is Honda Japan, who first partnered with Sprinklr in 2016, when its Data Science Team adopted our listening product to listen to brand relevant conversations across social channels and get GAAP actionable insights. But then they added display turning that data into interactive experiences for their employees. Today, Honda Japan has over 100 users on modern research and they track over 100 car models, measuring marketing effectiveness, benchmarking social content and engagement against competitors and detecting and monitoring for crisis. Honda then expanded the usage of Sprinklr to include Modern Advertising, modern care, and a modern sales and engagement suites. In Q3, they added voice as a channel for customer care and engagement. As the company's e-commerce business started gathering momentum, they are Sprinklr's first customer to implement voice in Japan, enabling their agents to seamlessly now engaged with consumers however they choose to connect.  As Honda 's head of new e-commerce business, [Indiscernible], explained to us, our goal is to connect authentically across channels, and Sprinklr enables us to do that. Sprinklr is a customer-first company. One way that manifests is in our unmatched pace of innovation, which has always set us apart. This quarter was no different. We launched 600 new features and enhancements in the last 90 days that are going to benefit our customers. One of the more exciting innovations in this last release was our persona – based apps, that includes a homepage for each job role in the front office. This puts the insights and workflows that each user needs to do their specific job, right at their fingertips. This and other usability innovations like this that we've rolled out in the past several years, have consistently made Sprinklr easier and easier to use, even for the largest and the most complex-use cases. We've always said that our key differentiator is our industry leading AI for unstructured public digital data. I'm proud to announce that we've been awarded 2 AI patents this quarter. The first one is for our smart responses, which uses AI to deeply understand the conversations between customers and agents, and predict the best response to user's questions by understanding the intent.  And the second one is for a product insight, which gives brands highly granular insights into what their customers like and dislike about their products, using super advanced artificial intelligence. Fueled by the strength of our Research and Development, Modern Care continues to be one of our fastest-growing products and products suites. As evidenced by a number of Care deals this quarter with brands like Honda and Lululemon and Nestle and Prada. This quarter, we released a powerful feature called Compliance Management, to help banking, financial services, and insurance companies comply with regulatory requirements around the world, and especially countries like Australia. Using our AI, Compliance Management helps these companies automatically identify a complaint and route you to the right agent or resource, and auditing it to provide end-to-end accountability across 35 plus [Indiscernible] channels. In other product news, I'm sure you recall that we announced our first self-service product last quarter, our Modern Research Lite to make it easier for our target customers to get started with Sprinklr. We're excited about the response we've seen so far and pleased with the positive impact on demand generation and the new prospects it has created in our pipeline.  This quarter, I'm excited to announce the beta release of our next self-service product, Modern Care Lite. Modern Care Lite works with our Modern Research self-service product, to provide fairly comprehensive care capabilities in an easy-to-use interface. Also, on the innovation front, we received the 2021 Best of Enterprise Connect Award for the best innovation and customer experience for our Conversational Commerce product. Our new engagement feature uses AI to guide customers from intent to purchase, helping them with product selection, and evaluation along the way. This quarter, Amazon Web Services also awarded us, the Government Competency Partner status. That reflects our expertise in delivering a unified platform to address the specific needs of civilian agencies, national defense and intelligence communities, state and local governments, and higher education institutions. On the culture and talent side, we were named to Inc. Magazine's 2021 Best Led Companies list. That's a testament to our focus in creating value for our customers and investing in our talent and our leadership. We also received Cigna's 2021 Well-Being Award for our commitment to improving the well-being of our employees.  For me personally, the best thing about being a public company in the last 6 months or so, has been the incredible opportunities that I've had to meet with some of the smartest people in the world, from investors to customers across the entire enterprise software space. Having done over 60 investor meetings and more than 50 customer meetings this quarter with the CIOs and CTOs, and CMOs, and the heads of customer care across tech and telco, and healthcare, and CPG, and luxury, retail, automotive, and hospitality. I can tell you 1 thing, the message we're hearing is the same across industry, across these different functions, and teams, and executives. Point solutions are simply not sustainable. They're siloed, they're expensive as non-compliant. In closing, I'd like to summarize a couple of thoughts. First, we believe that every large company will need what we're building. And as a result, the rise of this category is inevitable. Second, we believe that with our focus on innovation. And specifically customer-led innovation, Sprinklr will lead the way. I'd like to thank our customers, partners, and all of you investors for the trust you've placed in Sprinklr every day. And most of all, thank you to over 3,000 of our own Sprinklrites for everything you do. The best is really yet to come. With that let me turn it over to Vivek.
Vivek Kundra : Thank you, Ragy. And good afternoon, everyone. In Q3, we had phenomenal execution across every function, with revenue increasing 32% year-over-year. This performance is validation, not only that our go-to-market strategy is working, but that this company continues to scale up and deliver across multiple products, and in every market around the world, from America to Europe, to APJ. You've heard us talk about Sprinklr being a story of reaccelerating growth. And over the past year, you've seen exactly that. We've increased our revenue growth rate for four quarters in a row, this growth is powered not only by strength in our new bookings, upsells, and cross-sells, but also by the fact that we continue to have world-class customer retention across-the-board, from our largest and most strategic global customers to our smaller enterprise customers. That retention is a clear indication of the stickiness. An immense value of this enterprises are realizing from our platform. And it is even more evident when you look at our 1 million-plus customer base. As of Q3, we now have 80 customers globally generating 1 million plus or more in subscription revenue. These are the world's largest and most iconic brands like Microsoft, Vodafone, and Twitter. And they represent the best of what Unified-CXM looks like. Today, 90% of these 1 million plus customers have at least 3 of our 4 product suites. And they continue to expand with us quarter after quarter. As you've heard me say before, we have a growth flywheel that's working at scale across our customer base, with a proven ability to up-sell, cross-sell, and expand across brands and geographies. I want to congratulate the team on driving a significant increase in our net dollar expansion this quarter to 117%. From our ability to up-sell, expanding an account like Pepsi with hundreds of new seats for Modern Sales and Engagement and a significant expansion in Modern Research, to our ability to cross-sell, landing in an account like Kingston Technology with Modern Sales and Engagement and Modern Research and expanding into Modern Care, to our ability to expand across brands and geos as we've done repeatedly with Samsung, and did again this quarter as they added hundreds of new Modern Care licenses, expanding into LatAm, Southeast Asia, and India. We continue to see our primary growth factor, and focus on large enterprises with $1 billion plus in annual revenue paying off. With expansions like these and others from brands like Nestle, Lululemon and Super Dry. The addition of new logos like Hugo Boss and Land O'Lakes. And with thousands of companies selected target as our sales capacity continues to grow, we've never been more confident in this segment's ability to fuel durable, sustainable growth for years to come. But it's not just our first growth factor that gives us confidence. We also have momentum in our second growth sector, focus on enterprises with a 100 million to 1 billion plus in annual revenue. These are also large organizations grappling with point solution chaos. And in Q3 we signed up amazing new customers like Ledger, CrossCountry Mortgage, and Everlane. We see tremendous opportunity in this sector. That's why last quarter, we introduced a self-serve way for enterprises to try a free, lightweight version of Sprinklr to accelerate and drive greater efficiency in our inbound demand gen efforts. We're pleased with the early results from Modern Research Lite and had a few thousand brand sign-up in just a few months. It's still early, but we're already seeing that activity drive demo requests for our full solution and bring new prospects into the pipeline. And with Modern Care Lite available in beta, we will continue to innovate and expand our footprint in the second vector. Another pillar of our growth flywheel is our partner Ecosystem. In Q3 this partner has helped us land and expand significant customer wins, like Land O'Lakes, Jumbo, Alaska Air and Prada, in addition to four $1 million plus ARR deals. We continue to expand our international footprint as well, adding fantastic new partners, like Capgemini, to extend our presence in Europe, and Wipro, to broaden our reach throughout the Middle East and Asia. Now, I'd like to share 2 customer wins from this quarter, TikTok and MGM Resorts. TikTok is only 3 years old and with over 1 billion users around the world, it's already one of the fastest-growing entertainment services company in history. When I met with the company's Global Head of Marketing recently, it was clear TikTok is focused on delivering great experiences at unimaginable scale. In early 2020, TikTok turned to Sprinklr to do just that. Starting with this global marketing team before quickly expanding to more than 20 countries, spanning multiple business units, teams, and external agencies; all of which are now unified on Sprinklr. In Q3, TikTok added even more users and bought Sprinklr into another new region, Southeast Asia. Expanding a partnership that now includes Modern Research, Modern Sales and Engagement, and Modern Care. With Modern Research, TikTok leverages advanced AI to make sense of what's being said about one of the world's most talked about brands. Distilling relevant conversation into real-time insights about TikTok's brand perception, and market trends. With Modern Sales and Engagement, TikTok isn't just collecting feedback, they're taking action, empowering their teams to interact with users across multiple channels. And with Modern Care, TikTok has been able to provide best-in-class support. Now let's switch gears to MGM. The hospitality and entertainment industry was hit hard during the global pandemic, and MGM Resorts International, a Sprinklr partner for over 8 years, was no exception. A global entertainment company with destination resorts around the world, the story of MGM over the past 18 months is one of triumphs over adversity. For years, MGM has managed its entire customer experience workflow within Sprinklr, including 913 accounts across 14 channels, using Modern Research to gather deep insights about its brand, and Modern Sales and Engagement to surprise and delight its guest with unforgettable experiences. When the pandemic hit, Sprinklr became more vital to MGM than ever before. Not just because MGM needed critical insights about customer sentiments that we're changing by the minute, but also because with many of its employees furloughed, they needed to be able to do more with less. Sprinklr's AI capabilities have been central to helping the company [Indiscernible] 300,000 + inbound messages and more than 50,000 guests reviews so far this year, automatically categorizing each one and identifying those that need immediate attention. In Q3, MGM implemented location insights for more than 300 restaurants, bars, and hotels, to provide an even more granular set of insights, helping them take targeted, location-specific actions, to improve the guest experience. When asked about our partnership, Kristina Arietta, Executive Director of Social Strategy, said, these insights allow us to achieve our number one priority - guest centricity, while simultaneously mitigating risks to our brand, which has been critical for MGM over the past year and a half. Today, 1,100 of the world's largest and most valuable enterprises turned to Sprinklr for 3 reasons. 1. the depth and breadth of our Unified-CXM platform is unmatched and purpose-built for the enterprise. 2. Our industry-leading AI enables enterprises to make sense of unstructured customer experience data and act on it at scale. 3. We deliver meaningful ROI for our customers, helping them increase revenue, reduce costs or mitigate risks. With that, let me turn the call over to Chris Lynch to review the financials. Chris.
Chris Lynch : Thanks, Vivek. Today I'm going to provide a brief overview of our third quarter financial results and provide guidance for the fourth quarter; and also for our full fiscal year, both of which end on January 31st of 2022, and then we'll open it up for questions. I should point out that in addition to our GAAP financial results, I'll also be discussing certain non-GAAP numbers today. our GAAP results along with the reconciliation between GAAP and non-GAAP results, can be found in today's earnings release and on our Investor Relations website. As you've heard from both Ragy and Vivek already, we delivered another really strong quarter across the board, accelerating the pace of our top-line growth yet again. Last quarter, we reported revenue growth of 27%, And this quarter, we're reporting another significant acceleration with total revenue up 32% year-over-year to $127.1 million. That's driven largely by subscription revenues of $109.9 million, which grew 29% versus Q3 of last year. Our non-GAAP subscription gross margin improved to 80% in Q3, which helped us deliver a non-GAAP total gross margin of 71%. And on the bottom line, we generated a non-GAAP operating loss of $13.5 million for the quarter, while using just $1.1 million in operating cash flow, and only $4.1 million in free cash flow.  That impressive cash flow result, helped us end the quarter with well over $0.5 billion of cash and short-term investments on the Balance Sheet. So we have plenty of capital to continue growing the business. I'm also happy to report a notable 300 basis point increase in our net dollar expansion rate this quarter to 117%. That calculation you'll remember, is using trailing 12 months subscription revenues. And this dramatic increase over the last 90 days is further evidence that the go-to-market investments we started making in the back-half of last year, are continuing to pay off. That's true of our billings as well, which were up year-over-year by 31%, and that's for the third consecutive quarter that our billings growth has been up by at least 30% versus the prior year. Current remaining performance obligations or CRPO, which represents contracted revenues that will be recognized over the next 12 months, that was $329.6 million at the end of Q3, and that's up 29% versus Q3 of last year. And then finally, as you heard from Ragy earlier, we now have over 80 customers contributing $1 million or more in subscription revenue over the last year.  That's also a 29% increase year-over-year. And that momentum, it just speaks to the strategic value that our Unified-CXM platform is creating for the world's largest and most valuable brands. So that brings me to guidance for the fourth quarter of fiscal '22, ending on January 31. We expect subscription revenue to be within the range of $113 million to $115 million, that represents 27% growth year over year at the midpoint. And we expect total revenue for the quarter to be in the range of $129 million and $131 million, representing 25% growth year-over-year at the midpoint. It's only a small piece of our total revenue but it's probably worth calling out, the service revenue grew 52% last quarter due to some really strong execution from our team. And while the service business remains strong into Q4, particularly our recurring services, we're expecting the growth rate in services to normalize in Q4, which is why subscription revenue guidance is at 27%, while total revenue guidance is at 25%. Consistent with the operating plan we set out at the start of the year, we expect a non-GAAP operating loss in Q4 in the range of $21 million to $23 million, and a non-GAAP net loss per share of $0.08 to $0.09, assuming $260 million weighted average shares outstanding.  For our full fiscal year, which also ends on January 31st, we're providing the following guidance. We expect subscription revenue to be in the range of $423 million to $425 million, representing 25% growth year-over-year at the midpoint. And we expect total revenue to be within the range of $486 million to $488 million. That represents 26% growth year-over-year at the midpoint. For the full year, we expect a non-GAAP operating loss in the range of $48 million to $50 million, and we expect a non-GAAP net loss per share between $ 0.30 and $0.31, assuming $195 million weighted average shares outstanding. Results like these aren't created overnight. So I want to echo what both Ragy and Vivek said, and thank everyone at the company for delivering such a strong result this quarter and for helping us to start capitalizing on our huge market opportunity on our technology leadership and for helping to create a durable, multiyear growth opportunity here at Sprinklr. Let me leave you with a summary of these results as I see them. Last year, we laid out a plan to dramatically accelerate the revenue growth of this business. And with full quarters of accelerating growth rates, we've delivered on and actually exceeded that plan. We said we have the right product in the right market at the right time and that we needed to invest in our go-to-market machine and to build out distribution.  That's exactly what we've been doing. And today we've got more sales capacity than we've ever had. We have a bigger global footprint than we've ever had, and there's more awareness than ever before of the value we're creating for our clients. And this incredible momentum in our business can be seen in every one of the metrics I just talked about. Whether it be net dollar expansion, subscription revenue growth, CRPO, billings or the number of customers paying us more than $1 million dollars each year. That's why, as we round the corner towards our next fiscal year, the team here at Sprinklr are so excited about the opportunity ahead. With that, we're happy to take your questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions ]. Our first question is from Raimo Lenschow of Barclays. Please proceed with your question.
Frank: Hey, this is Frank out for Raimo. Congrats on the results today. So large customer had accelerated again this quarter, could you provide some more color behind that? Was this growing customers across that threshold or were you more landing above via the million dollar mark there?
Ragy Thomas : This was a growing customers across the board. And consistent with previous quarters, we had similar mix in terms of upsells and new logos. What's been really exciting though, is when you think about the 81 million plus customers, that's up 29% year-over-year. We expanded at customers like Pepsi, Keystone, Samsung, Nestle, and the new logos in the customers like Hugo Boss and Land O'Lakes. But also when we talk about Vector2, we continued into add new logos in Ledger, a CrossCountry Mortgage, and Everlane, and saw our partners step-in and add even more value this particular quarter.
Frank: That's great to hear. And I was wondering if you could give an update as well on the sales hiring, and ramping? Is there any impact that we should consider also from the tighter labor market?
Ragy Thomas : But I think look from a sales capacity perspective, we've inflected up and you're seeing the result of that inflection in terms of going from 19% to 27% to 32%. And we've got the highest sales capacity we've ever had. And as we look ahead in terms of Q4, we're seeing good kind of pipeline and demand environment. And as far as the labor market is concerned, I think -- look, every company around the world is contending with the great resignation. But as we came out of COVID, one of the things that we did do is made sure that were inflecting up, and we believe we're in a good position with the capacity that we have.
Chris Lynch : One of the things we've been doing is streamlining sort of that internal career progression within our go-to-market organization, where somebody can start right out of the university into an XDR program, and then SDR program, then into account executive. So we think we have a good short, medium-term strategy to address and get ahead of the labor shortage. And I would also -- back to your question, Raimo. I think what you're seeing is a market recognition of what we've been seeing for a long time. And it's the point solutions isn't sustainable for all these modern channels, right? And there are more modern channels and more customers are jumping onto channels like TikTok and the newer ones, and they can go to more point solutions. And what we're seeing. I would say, having done so many customer meetings in the last 3 months, what we're seeing is sort of a recognition that Sprinklr is probably the only viable, third or fourth platform in the enterprise. So we're not talking SMB, we're talking about large global companies that take 3, 6, 9 months to execute a procurement contract. And in that segment is a recognition that, yes, we have picked Microsoft as salesforce. Yes, we've picked Adobe. Now, who is the third? Who is the fourth platform? How do we get to 80% of the functionality and 90%? And with 31 products, we are the shortest path to that consolidation, which I think IT teams would agree that they need, because the point solution chaos is just unsustainable.
Operator: Our next question is from Mark Murphy of JP Morgan. Please proceed with your question.
Mark Murphy : Thank you very much and congrats on the very nice acceleration that you're seeing in the business. So Ragy, I wanted to ask you, what do you think is underpinning the success that you've been having recently in some of these very large cloud-based contact centers or CCaaS, where I think you've had some of those wins that have been thousands of agent seats. And I'm wondering if the addition of some of the voice offerings -- or excuse me, the voice APIs from Amazon and Twilio, might be creating a tailwind. And then if I could sneak in a follow-up for Chris, I was wondering maybe -- I heard all your comments on sales capacity. Where are we in the cycle of ramping up the quota-carrying sales rep headcount? I'm just wondering, does it continue to rise pretty rapidly in the second half and beyond or is the sales and marketing spend as a percentage of revenue, maybe peaking out somewhere around now?
Ragy Thomas: Mark, thank you very much, great questions. Let me just try to click on what we're seeing in customer care, as we outlined in previous quarters and at our IPO; care is something that we're putting a lot of focus on as a company. As you know, we got started with customer care in modern channels, so if someone's tweeting at you or sending you a WhatsApp message, or Google messaging you, or Apple messaging you; that digital interaction shows up with a lot of context, as a text message. And if you have deep AI, like we do, we are able to understand what product, what problem, and the agent who's best qualified to resolve it. And then suggesting using AI, a smart response, which makes an average agent as smart as the best agent they got in that specific product issue, and we've been innovating with concepts like guided path, and allowing agents to just really [Indiscernible] down the resolution, and while integrating to all other systems like the traditional care solutions do. And so what we're seeing are first-generation of customer care clients, are actually seeing victory on both sides. They're seeing dissatisfaction go down because we can intervene using AI in real-time with sentiment and either route to a different agent or come up with a better, faster solution.  They seen dissatisfaction go down and [Indiscernible] go up. And they are also seeing cost go down because of the integrated nature of chatbots and AI that goes into the platform, and the guided path of the smart responses. So this double victory is, I think of it, it's kind of -- it's a big thing for them. And we are benefiting from more cases moving to modern channels from voice and e-mail, number 1. Number 2, we're also benefiting from customers going, "Hey, if I'm spending 30% less on these channels ", because we are doing such a good job of AI-based optimization, "How do I move my live capital? How do I move my voice [Indiscernible]? " And I mentioned already that our first set of clients going live on VoiceN, and Honda just did. And live chat by the way, has quickly become -- it's our number 2 Care channel today. And it's just eclipsed all our other social and messaging channels, and that's one of our newer innovations. That's where we go up against traditional like chat only competitors, some of which are public companies. So we're benefiting from more volume shifting to Modern Channels. And we're benefiting from customers wanting to take what they are doing on Modern Digital Channel Care Solution using Sprinklr and trying to move more channels to this. Does this make sense?
Mark Murphy : Yes, it does. I did not realize the Live Chat have become view number 2 channel today, so yes, that's pretty fascinating.
Chris Lynch : Hey, Mark, it's Chris. Let me pick up on the second element of your question. Last year, you remember we generate positive income on a non-GAAP basis. And we were free cash flow positive in both of the last two fiscal years. So we know how to run an efficient business and make money. But we raised capital, not to put it in the bank and get 20 bits of the interest, but to deploy some of it and accelerate in that top-line growth. And towards the end of last year, we laid out a plan to do that. And with full quarters of accelerating growth rates, we're absolutely delivering on that plan. That plan required us to invest in our go-to-market machine and build out that distribution channel. And that's exactly what we've been doing over the last 12 months. And as Vivek said, we've got more sales reps than ever before and more sales capacity even we've ever had before. And that's the reason you're seeing that sustained acceleration on the top line. And at this scale, we can start driving meaningful leverage into the model when we're ready. But we think the approach we're taking right now is going to generate much more value for our shareholders in the long run.  And it is a conservatively run business. And we're very conscious of the need to balance that level of investment with the level of growth, but we think we've got the right balance in the moment. When you think about it, we just grew out top line by 32%. We delivered $127 million in revenue, which anyway you slice it, that makes us a $0.5 billion revenue run rate business. And we did that spending just $1.1 million in operating cash flow. And we think that's pretty darn efficient. So right now, we're continuing to add sales capacity pretty aggressively.
Mark Murphy : Understood. Thank you very much.
Ragy Thomas : Thank you, Mark.
Operator: Our next question is from Michael Teran of Wells Fargo. Please proceed with your question.
Michael Teran: Hey there, good afternoon. Appreciate you taking the questions. I guess first, I mean, Sprinklr has historically operated as up-market focused [Indiscernible] average [Indiscernible] in the hundreds of thousands. Can you talk more around the lighter touch self-service products and how those fit or complement that vision? Are those customers you aren't currently addressing or are those ways to get more enterprise customers trialing pieces of the platform and converting over to the broader platform, or maybe you can just expand on the vision there?
Ragy Thomas : Thank you, Michael. So I can confirm that the current strategy is to use these self-service in our trial easy-to-use products as on-ramps to experiencing our brand and our enterprise suite. So we've talked consistently about two vectors of growth. Vector 1 is the biggest 10,000 companies in the world, of which we already have over 1000 brands as customers. What we want to do as we look at the next 5, 10, 15, 20 years, what we wanted to do starting, a couple of quarters ago was: how do we go from looking at those 10,000 companies where we can have reps called one-on-one, to the next 90,000, because we think we are a great fit for companies with, let's say, a $100 million or more in revenue, in most sectors around the world. And 90,000 companies cannot be called on and demo down on a one-to-one basis.  So our self-service products are wait for us to introduce our products and capabilities to that Vector2 for the next 90,000, where they can move down that funnel and ramp on so that it's easier for them -- for us when the contact sales are -- when we contact them for us to get them closer to signing a contract. So today, it's not a move to go beyond our 100,000 target customers. But we've seen this movie so many times, whatever works for the next 90,000 is at some point easily extensible to long past that. But we think there is a big company to be built, just in Vector1 one, and as we expand to Vector2, we think that we're really seeding the opportunity in a really large marketplace.
Chris Lynch : And just to add to what Ragy said, these are still companies that are very large with complex business needs and point solution kiosk. And they have revenue between $100 million to $1 billion. And the goal of these light products is to actually accelerate and drive greater efficiency, as Ragy said. And in terms of making sure inbound engine continues to become more and more efficient.
Michael Teran: That's helpful. All very sensible. I guess, just one, if I may, on the financials. And Chris, the billings you've mentioned third straight quarter of 30% plus billings growth, it did tick down modestly sequentially here in Q3. It's consistent with what we've seen from the model. So, is there any characterization you could just provide on the seasonal profile of this more in Q2, Q4 [Indiscernible]? Or anything else we should just take into contacts there is helpful. Thank you.
Ragy Thomas : Yes. Thanks for the question. So I think as you probably observed, the interesting thing this quarter is that all of the metrics that we look at as potential leading indicators to revenue growth, are aligning. You've got subscription revenue growing at 29%, you've got the CRPO growing at 29% and you go billing growing at 31%. That sequence, subscription revenue, CRPO and billing, is actually how we internally prioritize the order of those metrics in the context of which are better leading indicators to revenue growth. Specific to the billing question, I've mentioned before, billing can be a little lumpy for us. In part because I've got more than $0.5 billion in the bank. And I tend to be more flexible on billing when I need to be. So when you look at billing over an extended period of time, you can look through some of that quarterly lumpiness and all 3 quarters so far this year, as I mentioned, the billing has grown by more than 30%. And I think full-year billing growth of 30% is how you should think about your modeling for Q4. Hopefully to -- now that you've got CRPO as a year-over-year metric, which we didn't have last quarter. You can lean on that a little bit more, which is a bit more of a robust metric as a leading indicator. But I think just the fact that all metrics are landing in and around the 30% growth mark, kind of helped to triangulate things as well.
Operator: Our next question is from Stan Zlotsky of Morgan Stanley. Please proceed with your question.
Stan Zlotsky: Thank you so much, guys. And congratulations on a strong quarter. I wanted to actually follow up on the prior question on Sprinklr Lite. Could you refresh us on what are the differences between the core Sprinklr product and the Sprinklr Lite product? Which are the components that truly make it Lite? And what are some initial feedback then, from customers participating in beta? And when could we see the beta transition over to the product being generally available? And I have a quick follow-up.
Ragy Thomas : Sure. Thank you, Stan. Our approach with the light products is to do 2 things. A, all the core capabilities are there and we've stripped down to things that, like really advanced large enterprise deployments need. The second thing is different about the light product versus enterprise product. It's a fact that in the light product, most of Sprinklr's powerful capabilities are pre -configured, either by the industry or by like a solution set. Like for example, in research in other products, the locations, all those things by industry we've pre -configured. Make it super easy for someone to get started. But as you know, large companies want to just that could really get their hands into tweaking and tuning it, right, customize their models, trained and all of that. So it really gives you the entry point and then once you experience it, you go, "Wow, I know this is working for me. And if I'm able to customize this with that, or add more workspaces, then that's what really we can use as a large company. " So that's really the two distinctions that make -- we started with the research product. As I announced today, we are launching our Care product in beta, which we're super excited about.  And the research in Care are designed to work together, right? Think about that 1 - star review. That's actually a 1-800 customer call, when you have research and listening connected to Care. And then we'll go onto launch engagement and then we'll follow it up with marketing. And by, say, in the next year, we're going to have the unified front office available in a self-service mode. Now, that's a good time for us to make a decision on, hey, are we going to use this as a revenue generator or we're going to just use this as a pipeline demand generator? And today, it's a pipeline demand generator. So we're really not investing into customers staying on there forever, but more as "Hey, experience the product, you've experienced capabilities, the power and you've experienced our brand. And can we talk into about what you really need and you becoming enterprise class?"
Stan Zlotsky: Perfect. That's very helpful. Quick housekeeping points for Chris. If we look at billings and essentially if we do total billings for the year around 30%, that implies roughly 20% year-on-year growth in Q4 for billings. Can you give us a little background in the end of last year in Q4, total billings essentially was 0% growth, current billings were 2%. What are the dynamics that we need to keep in mind from Q4 a year ago that inform the 20% implied billings growth for Q4 of this year?
Chris Lynch : There's a little bit of seasonality in our billing and it follows a pattern where our renewals happen. But the year-over-year comparison is against the COVID year. And we did I think I mentioned before we did some pretty unnatural things to really support our customers, many of whom were challenged when their businesses got shutdown. And so we pushed a whole bunch of the billing that we ordinarily would have pushed into the earlier part of the year, into the back half. And that's why you're seeing the sort of the year-over-year growth around the 20-something percent mark this year. You see earlier this year, Q1 for us was 45%, if I recall, year-over-year growth. And so it's a bit of an unnatural pattern this year just because of a strange billing pattern in the COVID year.
Stan Zlotsky: Got it. Thank you. Chris, did you did you give out a customer account number? I don't know if I -- total customer count, I don't know if I missed it.
Chris Lynch : Yeah. It's 1100. I think Vivek mentioned it in his prepared remarks.
Stan Zlotsky: Perfect. Thank you so much.
Chris Lynch : Got it.
Operator: Our next question is from Tom Roderick of Stifel. Please proceed with your question.
Thomas Roderick: Great. Everybody, thank you for taking my questions. Let me start this first one. It's a bit of a high-level question. But Ragy, you and Vivek both referenced this 500 million run rate you're running through right now. Some businesses kind of hit a little bit of a wall when they get to that $0.5 billion mark and some start to accelerate. And I guess what it seems like we're seeing with your businesses, it's a ladder. Your business is accelerating. It seems like perhaps some of these bigger deals are coming easier. And I know it's just the world is getting easier for you, but I'd love to hear just a little perspective on maybe the critical mass of what you're accumulating as you go through $0.5 billion. And I guess the question behind that would be, are larger customers leaning in and buying more at a faster pace? And do you feel like the cadence of business is perhaps coming a little faster and easier to you, now that you've got the brand and reputation, the public backing behind you? Just give us some sense of what that means as a public company and the momentum that you're seeing and the sales cadence.
Ragy Thomas : I can confirm that it is actually feeling, and we're sensing that that larger companies and their need to consolidate is much more pronounced today. So I think there are 3 things that play here from what we can see. The first one is, I think this point solution saturation has hit its peak. And you can see -- if you look around at all the point solutions competitors that we used to have, you can see the winners and the others separate themselves in both in the SMB space and on the enterprise space. So you're seeing a lot of companies that are struggling. And that's a recognition by larger companies that look, I can't afford to have another customer ID and under the integration, and under the RFB, and under the content ID, and something that doesn't fit into my workflow. I'm not going to integrate another point solution to Salesforce Adobe. So that's the first point I'd make.  The second point is, look, we're chasing a very ambitious vision. We know that. It's -- we're almost building a digital customer operating system for 36 channels, and across different functions where we are rebuilding the care stack for today, looking future backwards. It took us many, many, many years of constantly being under construction and scaffolding all over the place, and customers were sensing that. Now, all you're seeing is a lot of that platform building is done and customers are seeing us add features and making it easier for them to use. And I'll give you an example. We're -- I was talking to the head of business commercial sales with a large automotive company. And they are in the process of rolling Sprinklr out and their team, basically, said that they had never seen consensus across all their markets in wanting one solution. And it's the first time. And as they were running the RFPs, they got calls from several marketing, Please fix Sprinklr. So what you're seeing is, the practitioners are seeing that the platform is stable, it's easier to use, and that noise is going away. And the executives are beginning to see the need to consolidate and get closer to customers. And so it's the market maturity number 1, the platform maturity number 2, and the third thing is -- look, I think, we were hoping and it's very early still.  Market doesn't know our story, but it's beginning to. And I -- when I just look at the meetings that we have now, I told you I probably just counting the other day, 45 meetings the last few months, and suddenly most of it is with the [Indiscernible]. And where there is the CDO for large pharma company or the CMO of global CPG company, we're getting the attention that we're strategic partner. And I'm like hearing this concept of, "Okay, we need our third platform. We need a fourth platform. " Sometimes three, sometimes it's four. Very often it's three, and it's Microsoft Salesforce Adobe, and they're figuring out all they overlap. And then we emerge as the consolidator of the other noise for Modern Channels. And that's a theme that's helping us, and hopefully with every one of these calls that we do and every report that you write, just getting a story out is all we need because we got happy customers saying great things about how we're a strategic partner for them.
Thomas Roderick: That's really helpful, Ragy, I appreciate the thought of the ambitious vision because it certainly seems like that's where you are headed. I want to just talk really quickly or ask really quickly about self-service here, particularly down the Care is out with self-serve as well. Might be a good question for Chris, just relative to the costs associated with supporting that. Obviously that can be a really efficient sales channel once it's up and running. Can you talk about some of the infrastructure needs you might have from a billing and go-to-market perspective, as well as any other things that we ought to be thinking about from an investment perspective to support the buildup of that self-serve business model?
Ragy Thomas : Yeah. Tom, let me just kick it up and physically add to it. I want to say that the self-service product for us is user interface. It's a skin on the same underlying infrastructure that we built for 12 years. So it's not like we've taken a lot of chunk of our engineering team, and simply build down to the product, because this unified platform architecture that we think we've done a really good job of for 12 years and all the expenses are there. So for us to put another UI skin, simplifying all the configurations we've been doing any way to simplify our enterprise implementation. So broader company engineering and go-to-market, it's just not a big lift for us. Chris?
Chris Lynch : Yeah. Ragy, on the key point there. this isn't a big lift for us. It's really a subset of what we've always been doing and have been doing for the last ten plus years. So yes, there's a little bit of tweaking around the edges, Tom, but this isn't a significant investment like you would think if we were going into a completely different area of the business.
Operator: We have reached the end of the question-and-answer session. I will now turn the call back over to management for closing remarks.
Ragy Thomas : I'll close with the thing that I always say. We're here to do three things. We think there's a category coming and whatever we end up calling it, we call it Unified Customer Experience Management, and it sits, connects to the CRM, the transactional data, and consolidates a lot of the operating, heavy lifting that happens around it. This platform would make a salesperson sell better, a care person take care of customers better, a consumer inside person get better inside faster, and I think we will end up being very strategic. The second is we're trying to do something different culturally. In our enterprise software, basically we want to build the world's most loved enterprise software company. What that means is we have to approach our customer's sales market, deliver very differently. And I am very encouraged by the progress we're making on that front. And lastly, we want to set the benchmark for employee culture, where we treat one another like family and take care of each other while we obsess about customers. So I want to thank you all for your interest. And as we always say, this is a 5, 10, 15, 20, 30-year run, and we want to build a durable company. And every other short-term priority will be subservient to this long-term vision for us. Thank you again, and please have a great evening.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great evening.